Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Independence Realty Trust First Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, today’s call is being recorded. I will now hand today’s call over to Stephanie Krewson-Kelly. Please go ahead.
Stephanie Krewson-Kelly: Good morning. And thank you for joining us to review Independence Realty Trust first quarter 2025 financial results. On the call with me today are Scott Schaeffer, Chief Executive Officer; Jim Sebra, President and CFO; and Janice Richards, Executive Vice President of Operations. Today’s call is being webcast in the Investors section of our website, irtliving.com, and a replay will be available via webcast and telephonically beginning at approximately 12 noon today, Eastern Time. Before I turn the call over to Scott, I’d like to remind everyone that there may be forward-looking statements made on this call. These forward-looking statements reflect IRT’s current views with respect to future events and financial performance. Actual results could differ substantially and materially from what IRT has projected. Such statements are made in good faith pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to IRT’s press release, supplemental information and filings with the SEC for factors that could affect the accuracy of our expectations or cause our future results to differ materially from those expectations. Participants may discuss non-GAAP financial measures during this call. A copy of IRT’s earnings press release and supplemental information containing financial information, other statistical information and reconciliations of non-GAAP financial measures to the most direct comparable GAAP financial measures is attached to IRT’s current report on the Form 8-K available in the SEC filings section of IRT’s Investors website. IRT does not undertake to update forward-looking statements on this call or with respect to matters described herein, except as may be required by law. With that, it’s my pleasure to turn the call over to Scott Schaeffer.
Scott Schaeffer: Thanks, Stephanie, and thank you all for joining us this morning. I’m happy to report that 2025 is unfolding largely as we anticipated despite the macroeconomic uncertainties that have emerged since our last call. We are on track to achieve both our full year same-store NOI and core FFO per share guidance. Our communities are well located in areas with strong population and employment growth and will continue to outperform even during periods of economic uncertainty. First quarter results were solid. We delivered 2.7% same-store NOI growth driven by a 100-basis-point increase in average occupancy year-over-year, as well as an increase in our average effective rent since the first quarter of last year. Value-add renovations also contributed to our same-store results. During the quarter, we completed 275 units and achieved an average return on investment of 16.2%. We now have 28 communities with over 4,600 units in our ongoing value-add program and expect to complete between 2,500 units and 3,000 units this year at our targeted ROIs. We continue to execute on our long-term investment strategy. During the quarter, we sold our final asset in Birmingham, Alabama for $111 million, which completed our exit from that market. And we expanded scale in Indianapolis by purchasing a 280-unit community for $59.5 million at a 5.6% economic cap rate. We also entered into a new joint venture investment that will develop 324 units in Charleston, South Carolina. We are under contract on two additional communities with a combined purchase price of approximately $155 million. One asset located in Orlando [ph] was developed in 2019 as adjacent to an existing IRT-owned community and will provide many operating synergies. The second property is a newly developed community in Colorado Springs that is in lease-up. These investments will provide an economic cap rate in the high 5s during year one. Beyond these pending transactions, our acquisition pipeline remains strong. As Jim will discuss, we have ample liquidity to deploy into these and other accretive investments. Regarding our markets, apartment fundamentals will improve across the portfolio during this year. As prior deliveries are absorbed and new supply deliveries decrease sharply from recent peak levels. In 2024, approximately 79,000 new apartment units were delivered across our submarkets, representing 6.1% of existing supply. We expect 32,000 new deliveries in 2025 and only 24,000 units in 2026, representing 2% and 1.5% of existing supply, respectively. These deliveries equate to annual decrease of 60% in 2025 and an additional 24% in 2026. We expect our Sunbelt markets will benefit the most from expected declines in new apartment deliveries this year. Demand for our portfolio of high-quality, largely Class B communities has proven to be resilient over the years, even during challenging economic times, as demonstrated by our stable occupancy rates and positive blended rent growth. During 2024, nationwide new deliveries of multifamily units exceeded absorption, resulting in a negative net absorption of 21%. In 2025, while the national apartment market is expected to see positive net absorption of 1.5%, our submarkets are forecast to rebound strongly and enjoy positive net absorption of 8.5%, as increases in population outpace new supply. Longer term, IRT submarkets are forecast to see population growth of seven people for every one newly delivered apartment over the next three years. Additionally, homeownership affordability factors that include elevated mortgage rates and home prices continue to favor renting. Across our top 10 markets, average homeownership costs are 94% higher than IRT’s monthly rent. Importantly, IRT’s average resident rent-to-income ratio is stable at approximately 21%, indicating our residents are on solid financial footing. As I mentioned earlier, we are sensitive to the macroeconomic uncertainties that have emerged since our last call. However, we believe supply and demand fundamentals in our markets will continue to be the dominant influence on our operations. Based on our outlook for continued strong demand and significant declines in new supply, our 2025 plan continues to assume ongoing rental rate gains without sacrificing occupancy. First quarter results have demonstrated this to date, and we expect this dynamic to accelerate as we advance into 2026. Before handing the call over to Jim, I want to thank the IRT team for their continued hard work and dedication to delivering exceptional service to our residents. I’ll now turn the call over to Jim.
Jim Sebra: Thanks, Scott, and good morning, everyone. Core FFO per share of $0.27 in the first quarter of 2025 was flat as compared to the prior year period, reflecting the impact of the final stages of our portfolio optimization and deleveraging strategies that was completed last year. Same-store NOI grew 2.7% in the quarter, comprised of a 2.3% increase in same-store revenue and a 1.6% increase in operating expenses over the prior year. As we forecasted, same-store revenue growth was driven by a 100-basis-point increase in average occupancy, a 90-basis-point increase in average effective monthly rents and 50 basis points of lower debt compared to the prior year. Same-store operating expense growth in the quarter reflected a 2.9% increase in controllable expenses driven by higher contract services and advertising. These increases were partially offset by a 30-basis-point decrease in non-controllable expenses. Overall, lower repair and maintenance costs, turnover costs, and property insurance costs kept total expense growth below inflation levels during Q1 of 2025. Regarding recent leasing trends, the year is unfolding as expected, broadly speaking. For our like-term leases during Q1, our blended rental rate growth was up 10 basis points, with new lease rates down 4.6% and renewal rents up 4.8%. Please keep in mind that during Q1 2025, only 12% of our leases expired. For Q1 2025, our resident retention rate was 59.5% and our rate of resident renewals was 68.6%. Regarding investment activities, during the first quarter, we sold a property in Birmingham, Alabama for $111 million, representing a 5.6% economic cap rate and we recognized a $55 million tax gain. As Scott mentioned, we acquired a community in Indianapolis for $59.5 million, which was a 5.6% economic cap rate and the property is a candidate for our value-add program. We also entered into a new joint venture to develop a 324-unit community in Charleston, South Carolina, which is targeted for delivery in the second quarter of 2027 at an anticipated yield-on cost of 6.8%. Our balance sheet is strong with low risk. We ended the quarter with a net debt-to-adjusted EBITDA ratio of 6.3 times, which is higher than our fourth quarter 2024 ratio due to seasonally lower Q1 EBITDA associated with seasonally higher operating expenses. We remain on track to achieve a mid-5 net debt-to-adjusted EBITDA ratio by year-end 2025. Including principal amortization, only 17% of our total debt matures between now and year-end 2027, which is one of the lowest among public multifamily peers. In March, we entered into a new one-year $100 million SOFR swap, resulting in 100% of our debt being fixed and/or hedged. Lastly, we have nearly $750 million of liquidity to fund accretive investments. With respect to our financial outlook for 2025, we are certainly aware of the potential for an economic slowdown. However, in our submarkets, we see pricing power in front of us and accordingly are not making any changes to our guidance. Scott, back to you.
Scott Schaeffer: Thanks, Jim. We are off to a solid start to the year and continue to believe that we are at the beginning of a multiyear period of improving fundamentals and growth. Because of our portfolio’s market concentrations, waning supply pressures and strong balance sheet, we expect our portfolio and platform will continue to outperform in 2025 and enter 2026 with solid earnings momentum and growth opportunities. We thank you for joining us today and look forward to seeing many of you at the Wells Fargo Conference next week and the NAREIT Conference in June. Operator, you can now open the call for questions.
Operator: [Operator Instructions] Your first question is from the line of Brad Heffern with RBC.
Brad Heffern: Hey. Good morning, everyone. Thanks.
Scott Schaeffer: Good morning.
Brad Heffern: Can you walk through the leading spreads for the first quarter? Obviously, below guidance. Why was that and does it change your view at all on the original spread guidance for the full year?
Jim Sebra: Sure. Thanks, Brad. I’ll obviously give you some commentary. Janice or Scott, obviously, jump in. Leasing spreads, new leases were down 4.6% in the first quarter. Renewals are up 4.8%. Obviously, in terms of the trajectory throughout the year, as well as the full year guide, obviously, there’s a lot of facets to the question. I think when you compare that trajectory from Q4 to Q1 for us, you compare it versus our peers, I just want to remind everybody that we have predominantly a B Class portfolio. As a result, didn’t really experience the same level of decline in rental rates as some of our peers did because they’re mainly a Class A portfolio and compete more with the new supply that was delivered. Secondly, the trend that we’re seeing month-to-month so far this year continue to be very positive. We continue to see January was better, February is better than January. That continues all the way through April. So we’re quite excited about that kind of development of the waning pressure from new supply that we highlighted earlier this year and really seeing that improving rental rate growth in the back half of the year.
Brad Heffern: Okay. Got it. And then on the tenant level, have you seen any evidence yet of stress from the tariff macro uncertainty, et cetera?
Janice Richards: Good morning. Overall, we’ve not felt any effects from the tariff and or from deportations. I think it’s a little early, but we are watching it extremely closely and we have great faith in our teams that we will be able to offset and continue to outperform as we’ve done in the past with economic uncertainty.
Jim Sebra: And just to add on to that, in the first quarter of this year, our bad debt was roughly down 50 basis points versus Q1 of last year. So a lot of the initiatives we took in place to kind of deal with fraud have working and we haven’t seen a related kind of uptick because of hardships or anything else. So we’re seeing the good progression that we anticipated.
Operator: Your next question is from the line of Austin Wurschmidt with KeyBanc Capital Markets.
Austin Wurschmidt: Great. Thanks. Good morning, everybody.
Scott Schaeffer: Good morning.
Austin Wurschmidt: Jim, you mentioned month-to-month improvement in market rents this year. Is that starting to lead to acceleration in leasing spreads as we get into the second quarter or if you compare kind of the trade-outs for like-term leases?
Jim Sebra: Yeah. The comment was more directed at the improvement in the trade-outs that we’re seeing. The trade-outs in February were better than January, March were better than February, and April is better than March. Obviously, we’re getting away from talking about specific numbers month-to-month, but just kind of general trajectory is that it is improving at the pace that we anticipated. And we -- as we mentioned earlier, we really do see the pressure from new supply waning in the back half of the year and that’s really going to help accelerate further, more accelerated the back half of the year.
Austin Wurschmidt: That’s helpful. And then can you just speak to maybe how trends are playing out on the ground from a traffic and conversion perspective versus prior years? And just give us a sense of when [Technical Difficulty] trade growth might turn positive. Just wondering if there’s kind of any change in that expectation?
Jim Sebra: Yeah. From the standpoint of the leasing traffic on the ground, here in May and so far for kind of April, as well as March, the demand is 25% versus the same time period last year. So the demand is increasing. And I would generally say that, the conversion is still kind of relatively the same as last year. So we’re beginning to see kind of upward trajectory to obviously that lease rate growth, and then obviously occupancy. I don’t know, Janice, you want to kind of add any additional comments?
Janice Richards: Yeah. I think seasonality is playing out as anticipated and we’re seeing some great demands in the market that we’re ready to capitalize on.
Operator: Your next question is from the line of John Kim with BMO Capital Markets.
John Kim: I just wanted to clarify on what you’re seeing in April and May. You discussed, Jim, that price and power is in front of you. And I just want to make sure that commentary was based on what you’re seeing on new lease rates and renewals on what you’re finding in April and May so far?
Jim Sebra: Yeah. The commentary is on obviously blended rental rates. And yes, we obviously both that trajectory is developing positively for both new leases and the overall blended rates.
John Kim: Do you anticipate starting or sourcing more development opportunities this year? You mentioned the one in Charleston will be developed at a 6.8% yield and it seems like there could be some more opportunities at attractive yield spreads to acquisitions. But I’m wondering what you’re seeing on the ground and if you anticipate putting more capital in development?
Scott Schaeffer: Hey, John. This is Scott. We’re seeing a lot of opportunities. We’re very cognizant of our cost of capital. And we have over -- since we started that program, limited our exposure to the development just as a management of the balance sheet risk or the risk to the balance sheet. But we are seeing opportunities. The one in Charleston was particularly attractive to us because we have some, a couple of assets in Charleston and have been looking to grow there, but have found it difficult to buy accretively. So this was a way to invest in an asset, giving us the option to buy it when it’s completed, hopefully at a good return.
Operator: Your next question is from the line of Eric Wolfe with Citigroup.
Eric Wolfe: Hey. Thanks. Can you just talk about the decision to raise capital on the ATM and sort of how you’re thinking about the spread between your cost of capital and where you can acquire assets today and what that opportunity set looks like?
Jim Sebra: Sure. Yeah. At the -- obviously when we did the September equity raise last year and ATM raise in fourth quarter and then some additional ATM in the first quarter, the breakeven call it economic cap rate for it to be accretive from an earning standpoint is in the kind of 5.4% range. And as we’ve been able to demonstrate, we’re able to purchase assets with a year one economic cap rate of 5%, 6% or north. So the deals we’re doing are created from an earning standpoint. So for us, to continue to raise capital when the market’s kind of giving us the go signal makes a lot of sense, especially when we believe we can put it to work. The two deals -- and you kind of heard us talk about it in our prepared remarks, the two deals that are under contract, the one in Orlando and the new build in Colorado Springs, that blended economic cap rate is a high 5% or up to 5.8% year one.
Eric Wolfe: That’s helpful. And then let me just follow up on the sort of blended spreads. It looks like the sort of all in brand new spreads are a bit lower than your like-term spreads. And I think you mentioned before that the reason is you’re trying to move away from short-term leases and extend duration on those leases. Can you just talk about sort of when you began that process and why you began that process and sort of how long you think that will impact your sort of overall rent growth?
Jim Sebra: Yeah. So we started that process in the mid part of last year. And as you can imagine, it takes, call, it, almost a year for us to fully kind of go through the process. So we would expect that transition from less short-term leases and more long-term leases to be almost done by the middle part of this year. Obviously it’s always market-driven, when a prospect comes in, they have the option to choose at whatever the rates are for a three-month lease up to a 12-month or 13-month lease and that is a little bit out of our control. But we certainly kind of look at setting the premiums to go from a longer-term lease to a shorter-term lease to kind of influence the expiration curve so that the expirations are happening in the period of time where you have the highest leasing traffic.
Operator: Your next question is from the line of Ami Probandt with UBS.
Ami Probandt: Hi. Thanks. So you’re passing the easy comp, the last of the easy comps on occupancy, and the occupancy comps are then normalized starting in the next quarter. So I’m just wondering how we should be thinking about the cadence of same-store revenue from here, and if there are any other cases outside of the rent spreads themselves that could be leading to some lumpiness in same-store revenue through the year?
Jim Sebra: Yeah. Obviously, you’re absolutely right, occupancy was a big lift here in the first quarter relative to the first quarter of last year. Second quarter, third quarter and fourth quarter, the revenue growth is really kind of going to come from both the rental rate growth, as well as the reduction in bad debt that we forecasted throughout the year. I would say, generally speaking, the reduction in bad debt throughout the year will continue to kind of pace, I think, our original forecast kind of had us getting a call 1.4%, 1.5%, 1.4% to 1.5% of revenue this year, and we ended, we’re right about 1.8% today, and it’ll kind of move down to call 1.2% to 1.3%, the average out to that 1.4%. And then, obviously, the rent growth trajectory is really going to benefit us in the second half of the year.
Ami Probandt: Got it. And then, as we move past supply, how are you thinking about the relative performance between the B’s and the A’s or the renovated B’s?
Jim Sebra: In terms of relative performance of just rent growth or occupancy growth?
Ami Probandt: Yeah. Rent growth. Yeah, mainly rent growth, but if you could touch on some of the demand trends that you might see as well?
Jim Sebra: Yeah. We continue to see, we’re a predominantly Class B property or portfolio. We continue to see really good demands for, obviously, the Class B product. The value-added units or the units, when they do go into the renovation program, are pretty much always pre-leased. We really don’t have kind of excess inventory on the value-added communities. The Class A deals that we do have, they did compete a little more with some of the new supply that was delivered, but we still see demand trends picking up there. But the B continues to see just nice, stable demand.
Operator: Your next question is from a line of Jamie Feldman with Wells Fargo.
Jamie Feldman: Great. Thanks and good morning. Can you talk about costs in your redevelopment program and the potential impacts in tariffs? How early do you lock in costs ahead of projects and how sustainable are your mid-single-digit returns on investment if we see costs move 10% higher or more?
Jim Sebra: Yeah. It’s a great question. For the vast majority of our costs in the renovation program, obviously, there’s a good chunk of it that is labor to, obviously, do the actual return. Some of the more product-heavy costs are in the value-add and in the actual vinyl flooring that we’ll put in or in the appliances. A good chunk of the appliances come from manufacturers inside of America, so we don’t necessarily have a huge tariff issue there unless, obviously, they have tariff issues sourcing raw materials from non-U.S. countries. The vast majority of the vinyl flooring will either come from Vietnam or South Korea, and we’ve already locked in pricing for 2025 for a full year. So we are -- at this point, we’re really not expecting any kind of really significant pressure on the value-add, but that’s where, if there is issues in the tariff and trade world, that’s where we at IRT will expect to see it, but as you can imagine, it’s still very early to tell.
Jamie Feldman: Okay. Thanks for that. And then, just thinking more about the blend, it looks like your new and renewals are in line slightly better than your March update, but more new leases took the blend down. Can you talk about, did you take back any more delinquent units that would have changed the blend in occupancy as you did your leasing and focused on your leasing?
Janice Richards: Overall, we’ve seen our delinquent units maintained. We did see a decrease of 50 basis points in our bad debt from year-over-year, and so we’re anticipating that to continue to decrease to achieve guidance of 1.2%. So, we did have early terms that contributed to that mix, but it was relatively normal for the season.
Operator: Your next question is from a line of Linda Tsai with Jefferies.
Scott Schaeffer: Good morning, Linda.
Operator: Linda, your line is open. There’s no response from that line.
Scott Schaeffer: Yeah. We can move to the next analyst.
Operator: Your next question comes from a line of John Pawlowski with Green Street.
John Pawlowski: Yeah. Thanks for the time. A few questions about the thought process and the assumptions underpinning the full year revenue guide. I know it sounds like you’re assuming supply comes down pretty substantially this year. Can you help frame your job growth assumptions for 2025, how that kind of compares to the job growth you saw across your footprint in 2024?
Jim Sebra: Yeah. I don’t have -- I apologize. I don’t have the job growth assumptions right in front of me. I would say that some of the data points that we’ve talked about in the past where you have both, obviously, population and job growth per unit of new supply over the last three years, that ratio of population growth to supply growth in our submarkets was, I think, 3.8 people for every new supply. In the next three years, so 2025, 2026, 2027, that ratio is going to be roughly 7 times. I do know that, obviously, when you look at the supply trend, we delivered or in 2024, the deliveries were about 6% of existing stock in our submarkets. And in 2025, that’s going to drop to about 2%. So the job growth and the population growth we think is just generally relatively steady with historical trends. It’s just the supply is really dropping off.
Scott Schaeffer: Yeah. And I would add to that, as we stated in the prepared remarks, that according to CoStar, there was a negative absorption in 2024 of 21%. And while nationwide 2025 is expected to have a 1.5% positive absorption, and while our submarkets specifically will be 8.5% positive absorption. So according to CoStar, that indicates continued job growth and far, far less new supply, which is what we’re seeing as we move through 2025.
John Pawlowski: Okay. And on that point, it’d be helpful just to maybe hear you talk through a few of the most heavily supplied markets right now, the Denver, sorry, the Raleigh’s, the Atlanta’s, and just any statistics that you could point to to say, hey, this inflection point’s happening right now. Rent spreads are about to lag higher. The exact numbers in any given quarter I’m less concerned about. It’s just -- it doesn’t feel like the light is turning on in some of these heavily supplied markets. So any data points that give you confidence for this big reacceleration that seems to be underpinning the revenue guidance would be helpful to hear?
Janice Richards: Sure. We see Charlotte and Colorado are going to continue to have some supply pressures throughout 2024, and so, I’m sorry, 2025. So we will be looking to outperform and maintain not only occupancy, but maximize revenue where we can. Atlanta and Raleigh, we’ve seen a positive new lease rent growth since January, and sorry, not positive new lease rent growth, but less negative new lease growth with a trajectory where it’s becoming less and less every month. And I think that is starting to be a data point that shows the trajectory of the supply with the demand and the absorption rates increasing. So I think we’ll continue to see that through the rest of 2025 in Atlanta and Raleigh. Charlotte and Colorado will still be having pressures throughout 2025.
Jim Sebra: John, just as a little aside, with some specific numbers, in terms of supply growth, when you look at this, pick a market like Atlanta, which is our largest market, in 2024, the new delivery that occurred was about 6% of existing stock in our submarkets, not even just the overall, just in our submarkets. For 2025, CoStar estimates that to be 90 basis points, a significant fall off.
Operator: Your next question is from the line of Jamie Feldman, Wells Fargo.
Jamie Feldman: Hey. Thanks for taking the follow-up question. I just wanted to follow up on the expense side. You have two insurance renewals coming here in May and June. Thus far, we’ve seen declines in insurance premiums year-to-date from some of your peers. They’re curious how you’re thinking about the renewal in terms of your expectations and what’s in your guidance? And then any other OpEx line items we should be thinking about where you see some benefits here?
Jim Sebra: Sure. Good question. We have two insurance renewals. Our property and casualty will renew on May 15th, and our liability will renew on July 1st, not June. So, still a little bit early on the property and casualty, and I don’t want to, obviously, talk about too much specifics. Our guidance at this point assumed a 10% increase for the year, but we will -- we are expecting to generate a decrease in the premium once the renewal is signed. So, that’s a little bit early, but I don’t want to give kind of too much direction in terms of the quantification of it yet until it’s really firm. The liability premium or a liability policy that will renew in early July, we are expecting an increase. But overall, between both policies, it is expected to be a net decrease.
Scott Schaeffer: The liability expense is far smaller insurance premium expenses, far smaller than the property and casualty.
Jim Sebra: Correct.
Jamie Feldman: Okay. So, just to make sure I heard it right, you’re assuming a 10% increase, but you think it’ll be meaningfully lower, maybe even a decrease?
Jim Sebra: Yes.
Jamie Feldman: Okay. That’s nice. And then any other OpEx line items we should be thinking about that, you think are either trending in line with guidance or things might be changing, better or worse?
Jim Sebra: Yeah. I would say one of the items that, as I mentioned in the prepared remarks, that trended in the Q1 better than guidance was repairs and maintenance and turnover costs. We just had better retention than we would originally assume in guidance. That’s obviously sticky rather than a timing thing, and that obviously will move and shake throughout the year as retention changes. And I would say the rest of the categories continue to kind of be aligned with guidance. The big boy of real estate taxes, that is a TBD that will -- we won’t get the vast majority of our assessments in until call at the end of June, early mid-July. So, we’ll have a lot more commentary for obviously you in the market in our July earnings call.
Operator: Your next question is from a line of Linda Tsai with Jefferies.
Linda Tsai: Hi. Sorry about that earlier and I might have missed this. So, you exited Birmingham. Are there any other markets you would expect to exit by year end?
Jim Sebra: Yeah. At this point, no. Our dispositions, guidance is currently complete. We’re obviously always reviewing the portfolio, but there’s no expected change at this very moment. Once there is an update, we’ll be obviously happy to give it.
Linda Tsai: And then in terms of June and July being your highest expiration month, kind of any initial color you could give there?
Jim Sebra: In terms of leasing velocity…
Linda Tsai: Just…
Jim Sebra: … I mean, yeah, you’re right. June and July are our highest expiration months. Obviously, Janice and the team are working expeditiously to try to drive leasing ahead of those expiration months. As I mentioned, here in the month of May, the net demand is 25% better this year than it was last year at this point. So, we’re excited about kind of where we are heading into leasing season. And we’re trying to continue to keep retention as high as we can to really offset any kind of negative new lease pressure or lease pressure in the back of the year so we can really take advantage of that waning supply.
Operator: [Operator Instructions] Your next question is from a line of Mason Guell with Baird.
Mason Guell: Thanks. Good morning, everyone. Could you talk about the blend difference…?
Scott Schaeffer: Good morning.
Mason Guell: … between your Midwest -- good morning. Could you talk about the blend difference between your Midwest and Sunbelt markets in general, and then kind of how you expect that to trend throughout the year?
Janice Richards: We’re seeing as anticipated blends in the Midwest where anywhere between 2 to 3% based on seasonality. And then in our Sunbelt, we’re starting to see positive trajectory on our blended from January through April, and we’ll continue to see that through the rest of the year.
Mason Guell: Thanks for that. And then on your acquisitions, I mean, you guys expect to acquire one and lease up and one stabilized. I guess going forward, do you have a preference for one or the other, or do you kind of see it as more opportunistic?
Jim Sebra: It’s more opportunistic. There’s certain markets where we’re looking to add exposure. But as I said before, we’re always focused on doing or acquiring assets that will be accrued at the earnings in year one. I will add that everything in our pipeline today is the values would be below replacement cost. So, we think any acquisition will fare well over the next few years.
Operator: You have a follow-up question from the line of Linda Tsai with Jefferies.
Linda Tsai: Hi. Thanks. I just want to ask, I know Class B is holding up a bit better and that’s the majority of your portfolio. Any sort of color around the delta between the performance of Class A versus B?
Jim Sebra: I apologize, you broke up at the beginning of the question. Would you mind just starting over again?
Linda Tsai: Sure. Class B is holding up better within your portfolio, which I understand is the majority. I was just wondering what the delta is in performance between Class A and Class B?
Jim Sebra: Yeah. I don’t have the NOI kind of differences right now between the A’s and the B’s. I would say that the rental rate growth is certainly better in the B’s. The blends in the first quarter on the B portfolio was about positive, call it, 40 basis points, and the blends on the Class A, which is only 17 properties, was about minus, call it, 80 basis points.
Linda Tsai: Thank you.
Operator: This concludes today’s call. We thank you for joining. You may now disconnect your lines.